Operator: Good day, everyone. Thank you for standing by. Welcome to Adeia's First Quarter 2025 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the call will be open for questions. I would now like to turn the call over to Chris Chaney, Vice President of Investor Relations for Adeia. Chris, please go ahead.
Christopher Chaney: Good afternoon, everyone. Thank you for joining us as we share with you details of our first quarter 2024 financial results. With me on the call today are Paul Davis, our President and CEO, and Keith Jones, our CFO. Paul will share with you some general observations regarding the quarter, and then Keith will give further details on our financial results and guidance. We will then conclude with a question-and-answer period. In addition to today's earnings release, there is an earnings presentation, which you can access along with the webcast in the IR portion of our website. Before turning the call over to Paul, I would like to provide a few reminders. First, today's discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and, therefore, subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors section in our SEC filings, including our annual report on Form 10-K and our quarterly report on Form 10-Q. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have, therefore, chosen to provide this information to enable you to perform comparisons of our operating results as we do internally. We have provided reconciliations of these non-GAAP measures to the most directly comparable GAAP measures in the earnings release, the earnings presentation and on the Investor Relations section of our website. A recording of this conference call will be made available on the Investor Relations website at adeia.com. Now, I'd like to turn the call over to our CEO, Paul Davis.
Paul Davis: Thank you, Chris. And thank you everyone for joining us today. I'm glad to be here again to share the results and progress we made in the first quarter. We are off to a great start to the year. We generated $88 million in revenue and $57 million in cash from operations, which was in line with our expectations. We also executed on all four elements of our balanced capital allocation strategy and ended the quarter with an even stronger cash position. Before I get into the details on the progress we made in the first quarter, I want to highlight that our full year 2025 outlook remains unchanged despite the volatility in the current macroeconomic environment. We feel confident in the resilience of our business model, even in times of uncertainty. Over 80% of our full year revenue outlook is supported by contracted revenue. Our average contract term is five years. So our visibility is not measured in quarters, but in years, and thus our business is less impacted by near economic volatility. The vast majority of our customers are well-established leaders in their industries. We have built a strong track record of building long-term relationships, renewing customers again and again, with many relationships spanning over 25 years. As a result, our business model has proven to be stable and resilient. Lastly, our focus on growth aspects of our business, including OTT, semiconductors, and adjacent media markets, is paying dividends. Our Q1 2025 recurring revenue is up modestly year-over-year as compared to Q1 of 2024, even when taking into account the anticipated declines in pay TV. And when you look at the non-pay TV parts of our business, recurring revenue is up an impressive 25% year-over-year. Turning now to our first quarter momentum. We signed 10 license agreements highlighted by four agreements with new customers in key growth areas including social media, OTT and semiconductors. I'm proud of the progress we've made in signing new customers. Adding new customers is critical to our growth strategy and we are executing well on this front. Over the past two quarters, we have signed 20 license agreements, including eight new deals. We further expanded our already impressive social media presence with yet another new customer in the first quarter. Social media is an area where we've made great progress, having signed most of the major players over the last few years. As our media portfolio has continued to grow, particularly in areas such as imaging, video, and content delivery, so has its applicability to social media. Another significant new customer we signed in the first quarter was a leading international multi-platform media company for their OTT offerings. OTT is one of our high priority growth markets because of our media portfolio's applicability to it and its growing subscriber base. Having penetrated only a portion of this market today, we see a significant opportunity as we continue to pursue large customers in this key growth area. We also signed a new long-term license agreement with a major US professional sports league for access to our media portfolio. The relevance of our video assets to their online streaming offerings was a driver for this new customer and we're happy to have added them to our OTT vertical. We are excited to welcome a large domestic manufacturer of analog and mixed signal semiconductor devices as a new customer in the first quarter. Hybrid bonding continues to gain adoption due to its cost, power and performance advantages and is a key driver to our new semiconductor deal flow. In addition to these four new deals, we signed six renewals during the first quarter. Four of these renewals were in pay TV and the others were in OTT and consumer electronics. One pay TV renewal was with SK Broadband, a leading IPTV provider of high quality media and telecommunication services in South Korea. And another was with domestic pay TV provider, Frontier Communications. Renewals are vital because they support our ongoing revenue stream and provide a stable, predictable foundation upon which we can grow in the future. These renewals continue our strong track record of over 90% of our customers renewing their license agreements with us. We are on track to deliver sustainable long-term growth. Existing customer renewals maintain a recurring revenue stream, while new customer license agreements are the primary growth catalysts. In media, we expect that declines in pay TV will be offset by new customers in OTT and adjacent media markets such as e-commerce, ad tech, and gaming. In semiconductor, adoption of hybrid bonding in logic and memory devices and our continued success signing volume-based agreements with customers ramping new products provides an additional avenue for growth. In the first quarter of 2025, we grew our total patent portfolio by another 4 to over 12,750 patent assets. We anticipate the growth of our portfolio to moderate through the rest of the year. Our focus on expanding our portfolios has been a clear differentiator and creates value for our customers. But increasing our numbers is not our primary goal. Rather, we aim to focus our efforts on expanding and diversifying our portfolios to meet the evolving needs of the markets we serve. While over 85% of our patent assets are generated organically through our R&D efforts, we augment our internal growth through actively searching for patent assets we believe will accelerate our growth opportunities. Last quarter, we acquired two IP portfolios for $5 million in total. One was in micro LEDs, an area that has synergies with our hybrid bonding IP, and that we believe expands our value proposition with customers in this market. We also acquired an imaging portfolio, which has a broad applicability today across several of our growth verticals, such as ecommerce, social media and automotive. Our strong cash generation has enabled us to balance our capital allocation between investing in growth through strategic tuck-in acquisitions, improving our balance sheet through significant deleveraging and returning capital to shareholders through dividend payments and share repurchases. Keith will share additional details on our progress during the first quarter in a moment. Before I turn the call over to Keith, I'm happy to note that Sandeep Vij has been nominated to join our board of directors, replacing Raghu Rau, who will be retiring from our board after our upcoming shareholder meeting later this week. Sandeep's extensive expertise in the technology sector, particularly in semiconductors and intellectual property, combined with his significant leadership experience as a CEO and board member, will be invaluable as we continue to execute our strategic growth initiatives. Additionally, his deep understanding of the technology landscape will be a tremendous asset as we continue to drive innovation and expand our market leadership. On behalf of the entire team at Adeia, I want to express our gratitude to Raghu for his outstanding contributions over the past several years. Now, I'll turn the call over to Keith for a review of our financial performance. Keith?
Keith Jones : Thank you, Paul. I'm pleased to be speaking with you today to share details of our first quarter 2025 financial results. During the first quarter, we delivered revenues of $87.7 million, driven by the execution of 10 license agreements across a diverse mix of end markets, including OTT, semiconductor, social media, pay TV, and consumer electronics. I am pleased to note that we added four new customers during the period, which helps drive our long-term growth objectives. We are encouraged by the continuation of the strong momentum we saw exiting last year. Now I'd like to discuss our operating expenses, for which I'll be referring to non-GAAP numbers only. During the first quarter, operating expenses were $40.9 million, an increase of $1.4 million, or 4% from the prior quarter. Research and development expenses increased $362,000, or 2% from the prior quarter. The modest increase in the first quarter is primarily due to ongoing patent development and related filings, as well as increased personnel costs. Selling, general and administrative expenses decreased $964,000 or 5% from the prior quarter, primarily due to lower corporate administrative costs and lower variable compensation. Litigation expense was $5.9 million, an increase of $2 million, or 54% compared to the prior quarter, primarily due to increased spending associated with our ongoing litigation with certain Canadian pay TV operators and with Disney. Interest expense during the first quarter was $10.6 million, a decrease of $1.7 million from the prior quarter, due to the benefit of a lower interest rate following the successful repricing of our term loan in January 2025 and due to our continued debt repayments. Our current effective interest rate, which includes amortization of debt issuance costs, was 7.9%. Other income was $1.7 million and was primarily related to interest earned on our cash and investment portfolio and due to interest income recognized on revenue agreements with long term billing structures under ASC 606. Our adjusted EBITDA for the first quarter was $47.3 million, with an adjusted EBITDA margin of 54%. Depreciation expense for the quarter was $509,000. Our non-GAAP income tax rate remained at 23% for the quarter. Our income tax expense consists primarily of federal and state domestic taxes as well as Korean withholding taxes. Now for a few details on the balance sheet. We ended the first quarter with $116.5 million in cash, cash equivalents, and marketable securities and generated $57.1 million in cash from operations. We made $17.1 million in principal payments on our debt in the first quarter and ended the quarter with a term loan balance of $470 million. As a result of our strong cash generation, we executed a stock buyback during the first quarter, repurchasing approximately 760 shares of our common stock for $10 million. During the first quarter, we paid a cash dividend of $0.05 per share of common stock. Our board also approved the payment of another $0.05 per share dividend to be paid on June 17th to shareholders of record as of May 27th. We continue to remain acquisitive, and during the first quarter, we acquired patent portfolios associated with both our media and semiconductor businesses. We acquired imaging assets, which adds to the strength of our current media portfolio and are increasingly important as the underlying technology becomes more widely adopted in both consumer electronics and social media end markets. Seeing as a longer-term growth driver, we acquired micro LED assets that helps us further diversify our semiconductor portfolio and expands our potential customer base. Now I'll go over our guidance for the full year 2025. We are reiterating our prior guidance for the full year 2025. We expect revenue to be in the range of $390 million to $430 million as we are pleased with the progress we are making on executing and converting our sales pipeline. We would like to note that our second quarter could be impacted to the extent that certain deals ultimately sign in the second half of the year. If this were to occur, second quarter revenue would be similar to our first quarter revenue. We expect operating expenses to be in the range of $166 million to $174 million. Within that guidance range, we anticipate that our litigation expense will increase in Q2 due to the timing of certain legal matters. Our revenue and expense guidance reflects the progress and trajectory of the business as we see it today. While we have not been impacted in the short term by market dynamics, we are mindful of the broader implications of a potential economic downturn. As a result, we are carefully monitoring the broader macroeconomic environment and remain prudent in our spending. We expect interest expense to be in the range of $41 million to $43 million. We expect other income to be in the range of $4 million to $4.5 million. We expect a resulting adjusted EBITDA margin of approximately 59%. We expect the non-GAAP tax rate to remain consistent at roughly 23% for the full year. We also expect capital expenditures to be approximately $1 million for the full year. The first quarter was in line with our expectations. Our pipeline of sales opportunities continues to grow and evolve across both our media and semiconductor businesses. Coupled with the deal momentum we realized over the last several quarters, it gives us confidence, not only in our near-term outlook, but also our long-term growth prospects. That brings an end to our prepared remarks. And with that, I'd like to turn the call over to the operator to begin our question-and-answer session. Operator?
Operator: [Operator Instructions]. Your first question comes from Kevin Cassidy of Rosenblatt Securities.
Kevin Cassidy: Congratulations on landing all the new deals. Very impressive. What caught my interest the most is the new US Professional Sports League for online streaming. Is this a breakthrough that you might be able to get other sports leagues to sign up also? I guess maybe you can talk about the size of that market and what the strategy would be from winning your first client.
Paul Davis: We're really happy with the new deal execution. Getting four new deals done in a quarter is quite the achievement. The one that you mentioned, the US Professional Sports League, is one that we're certainly particularly proud of. It is an area that we've been focused on as many of these sports leagues have really added to the video content and interactive nature of their websites and their offerings generally. And so, yes, we do think this could lead to more. Now, we do categorize this within our OTT vertical because of the streaming nature of many of these services. But, yeah, we're very pleased by it and think it could be the first of several.
Kevin Cassidy: Is there potential for turning that into a betting features also?
Paul Davis: Yeah. As you know, Kevin, we certainly have sports gambling as part of our one of our verticals. That is something that we continue to explore. That adjacent market is a little further out than some of our others that are more near term, like e-commerce, ad tech, and automotive to a degree. But we certainly continue to explore and engage with a number of potential customers on sports gambling as well. And it could be an inroad, as you know.
Kevin Cassidy: One other question on the micro LED and the imaging portfolio that you acquired. Do those currently have licenses attached to them?
Paul Davis: No, they don't. We often are buying patent assets that don't come with an existing revenue stream, but that we see a really opportunity for us to take them on and add to our portfolio. With micro LED, we've included that in our semiconductor portfolio. What interesting to note there, Kevin, is that a lot of the micro LED supply chain and ecosystem will look, we believe, like the semiconductor industry and they're going to need to adopt semiconductor related technologies and processes. And so, we're excited about the synergies there and what that can mean in terms of adding new potential customers. And also, importantly on that one, as we think about new technologies and semiconductors for AI, as you think about silicon photonics and the like. And so, we think there's a lot of potential with that portfolio. It is a more mid to long-term opportunity for us, but one that we're very bullish about.
Operator: The next question comes from Hamed Khorsand with BWS Financial.
Hamed Khorsand: First off on this semiconductor announcement you have, is that the big one you were expecting last year?
Paul Davis: No, it's not, Hamed, as we noted on the call. That deal is still out there to be had. This was a smaller opportunity for us, but one that continues to show progress, especially in the adoption of hybrid bonding, which also drove this deal as well.
Hamed Khorsand: As far as the OTT is concerned, where are you seeing the opportunities? Is it coming from the international market like the one you announced, or are there still viable options here in the domestic market?
Paul Davis: As you know, we're currently in litigation with Disney. We also have another very large OTT opportunity that's out there that remains unlicensed that's domestic. And then we do have international opportunities as well. I would say the bulk of the opportunities are in the US and are domestic, but we do have international licensees today and are continuing to explore and get new deals done in the international market as well. But the larger revenue opportunities are here in the US for us.
Hamed Khorsand: How big is the social media opportunity? I thought it was quite small for you in the past, so you've announced one. Is there any more you could announce?
Paul Davis: When you look at our penetration in social media, we now have roughly 90% of the social media market licensed. So it is largely a licensed opportunity. Now, where we do have opportunities is in renewals that are coming up. New deals are harder to come by just because we have most of the market licensed. This was though a new customer that we licensed which we really happy to add them to the otherwise long list of social media companies that we have already under license. As we have talked about before, the social media opportunity will continue to expand, though, in terms of the use cases where video and imaging becomes more and more important to those companies. And so, we think there's some opportunity to continue to expand the revenue that we get from existing customers as well.
Operator: [Operator Instructions]. This will conclude the question-and-answer session. I'll turn the call to Paul for closing remarks.
Paul Davis: Thank you, operator, and thanks to everyone for being with us today. Before we go, I'd like to thank our employees for their continued dedication and hard work. We will be attending the Needham TMT Conference on May 9th and the Maxim Virtual TMT Conference on June 4th. We look forward to seeing you at these and other upcoming events. Thank you for joining us today.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.